Operator: Greetings ladies and gentlemen and welcome to Hudson Technologies’ Third Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. I would now like to turn the conference over to your host Mr. John Nesbett of IMS. Please go ahead sir.
John Nesbett: Good evening, and welcome to our conference call to discuss Hudson Technologies’ financial results for the 2014 third quarter. On the call today we have Kevin Zugibe, Hudson’s Chairman and Chief Executive Officer; and Brian Coleman, Hudson’s President and Chief Operating Officer. Kevin will review the company’s business operations and future growth strategies and Brian will review the financials, and immediately thereafter, we will take questions from our call participants. I’d like to take a moment to read the Safe Harbor statement. During the course of this conference call, we will make certain forward-looking statements. All statements that address expectations, opinions and predictions about the future are forward-looking statements. Although they 7lect our current expectations and are based on our best view of the industry and our businesses as we see them today, they are not guarantees of future performance. These statements involve a number of risks and assumptions and since those elements can change, we would ask that you interpret them in that light. We urge you to review Hudson’s Form 10-K and other SEC filings for a discussion of the principal risks and uncertainties that affect our performance and other factors that could cause our actual results to differ materially. Okay, with that, I will now turn the call over to Kevin. Go ahead, Kevin.
Kevin Zugibe: Good evening and thank you for joining us. I hope all of you had a chance to review our third quarter 2014 earnings release issued this afternoon. During the third quarter, revenue growth was mainly driven by increased volume and refrigerant sales. Likewise we saw increased revenues on the service side of the business, primarily due to an increase in average revenue per job as compared to the third quarter of last year. The real takeaway is that all of the inventory write-down issues resulting from the challenges of the EPA's 2013 final rule are now behind us. From September 30 and forward, we will be operating in more normal gross margin ranges and now expect an increase in those margins due to the recent final rule from the EPA. On October 16, the EPA administrator signed the final rule, establishing R-22 allowances for 2015 through 2019, providing for a significantly more aggressive phase-out schedule for the production of R-22 than the EPA's original preferred approach, resulting in the most aggressive option proposed. The final rule provides 2015 allowances of £22 million, representing a nearly 60% reduction from 2014 levels and provides annual step-down reductions leading to no production after 2019. Obviously this is a huge milestone for the industry and very exciting news for us and finally provides the clarity around the phase-out that will enable our customers to plan for the elimination of R-22 production and encourages the adoption of R-22 reclamation as the primary source of supply. We've always believed in and advocated for a more aggressive phase-down approach as the best method to achieve an orderly phase-out of R-22 and for establishing reclamation as the principle and ultimately the sole source of R-22 refrigerant. In 2020 the Virgin R-22 production will be fully eliminated and the anticipated aftermarket supply gap will then need to be filled by the reclamation industry. As one of the leading claimers in the market place, this is very exciting development for us. We view the reclamation of R-22 as well as the reclamation of the next generation refrigerants as an important market opportunity and believe we're well positioned to drive both organic and inorganic growth. Since the final rule is announced, we have already seen price increases of more than 15% for R-22. Although we were pleased with the immediate increase, we do not expect pricing to have a significant financial impact for the fourth quarter as very few customers are purchasing refrigerants this time of year. With that said, as a result of the aggressive phase-down method and reduced supply of Virgin Gas, we're expecting to see further price increases of R-22 in 2015 and over the long term. As we've frequently said, we do not think the opportunity for increased reclamation only applies to R-22, but believe that there will be an opportunity to enhance reclamation of the next generation HFC refrigerant gases as well. During the third quarter we were encouraged by the Obama Administration's executive actions and its partnership with the private sector to as they stated, slash omissions of the potent greenhouse gases and catalyze global HFC phase down. As part of the administration's initiative to promote a phase down of HFCs, both the administration and the private sector have acknowledged that the refrigerant management including reclaiming is an important way to reduce climate down as the emissions. Hudson is entering the next phase of growth as a leader in our industry and continuing to grow off this platform. We also have a solid balance sheet that was strengthened by our capital raise in the second quarter. We believe we have a strong foundation in place from which we can drive continued growth. We're always looking at opportunities to grow our existing reclamation network in anticipation of the growing demand from recovered refrigerant and we're also exploring strategic partnerships as well as for potential complimentary acquisitions. We are energized by the changing dynamics of our industry and believe we're well positioned to capitalize on the opportunities being created by the changing marketplace. With that, I’ll hand it over to Brian to provide our detailed financial results.
Brian Coleman: Thank you, Kevin. Revenues for the third quarter increased 1% to $15.3 million as compared to $15.2 million in the third quarter of 2013. During the quarter, we saw higher volumes in refrigerant sales and increased service revenues offset by decrease in the selling price of certain refrigerant in 2014 when compared to 2013. Operating expenses for the third quarter were $1.6 million compared to $1.8 million in the previous year quarter. We continue to manage our expenses as we work through a leaner gross margin refrigerant sales season for 2014. Net loss for the quarter was $108,000 or $0.00 per fully diluted share compared to a net loss of $9.1 million resulting from the lower cost of market inventory adjustment for $0.36 fully diluted share in the third quarter of 2013. Now turning to the balance sheet, as of September 30, 2014, the company had $28 million in inventory, which is slightly down from the $34 million at December 31, 2013. Inventories have decreased due to a normal reduction as we move through the selling season and the sales of higher cost inventory resulting from last year. During 2014 we returned to our traditional buying practices so that for -- so that for 2015, we'll begin the sales season more in line with our past practices. At the end of the quarter, we had $25 million of availability under our credit facility and approximately $34 million in working capital. I’ll turn the call back over to Kevin.
Kevin Zugibe: With the EPA's final rule in place in defining a clear path to the phase down that will lead to the elimination of R-22 production, we're entering a very exciting time for our company. In 2020 reclamation will become the sole source of R-22 supply and we believe that the aggressive step-down approach established by the EPA leading up to 2020 will create a favorable environment to drive reclamation activities. We've spent many years developing the relationships, distribution network and proprietary technology and equipment to capitalize on this market opportunity and with our current leadership role in the reclamation market we believe we are in an excellent position to benefit from the changing marketplace. Thank you for your interest and in support of our company. Operator, we’ll now open the call to questions.
Operator: Thank you. Ladies and gentlemen we'll now be conduction a question-and-answer session. (Operator Instructions) Our first question comes from the line of Ryan Merkel with William Blair. Please proceed with your question.
Ryan Merkel - William Blair: Thanks. Hey guys, how are you?
Kevin Zugibe: Good. How are you?
Ryan Merkel - William Blair: So I guess first on R-22 prices, you mentioned the OEMs have put out a 15% price increase and I am just curious how much more of a price increase do you need to see from the OEMs before you guys would really put up some nice gross margins in 2015 and really enjoy some nice inventory profit?
Brian Coleman: Well, you could say immediately we get the full benefit of any price increase. So back to I think a comment we made as part of introductory note, this whole year really our margins were completely affected in this whole season, affected by last year's write-down inventory and so forth. So behind the scenes we were building inventory in a much more normal fashion. So our normal margins, absent any price increases, one would expect low 20s to mid 20s. So that would be an expectation for next year without any price increase. To the extent that we already have seen a 15% price increase, that obviously is all going to benefit and then any further price increases that we might see will continue to benefit beginning in that '15 period.
Ryan Merkel - William Blair: Perfect, very helpful, okay. and then I guess second question, the services revenues, can you give a growth rate there and I am just curious where are you investing in that area and do you think growth rates improve from here?
Brian Coleman: Well, the growth rates in terms of percentages are high because the dollar is overall relative to total revenue are low. We're working towards going from a $4 million business and I don't want to use the word static, but not with significant moved growth over a number of years to moving it much closer to $5 million, probably not quite getting there for this year. We are investing more in technology associated with our energy optimization services, which were now -- we named as Global Energy Services and we expect to continue to invest more dollars there in development, more dollars in sales and marketing and that is an area that we do at, at times, are there other complimentary businesses out there that might help grow relative to that portion of the service business.
Ryan Merkel - William Blair: So [bio] (ph) is tracking towards what you expected?
Brian Coleman: Yes it is and we are looking for further growth next year.
Ryan Merkel - William Blair: Okay. I'll get back in line thanks.
Operator: Thank you. Our next question comes from the line of Philip Shen with Roth Capital Partners. Please proceed with your question.
Philip Shen - Roth Capital Partners: Hey guys, had a quick follow-up on pricing, our checks as opposed to EPA ruling suggest pricing is closer to $8.50 to $9 now. Obviously you guys talked about this 15% increase. Just was wondering if you could elaborate more on what you see, more pricing ahead, I know you guys talked about it going higher, but any more color would be helpful. Thank you.
Kevin Zugibe: Yes, I think your checks are always seem to be right in line and to what we are seeing right now that the producers came out with the price increases as we thought they would immediately. Again a justification they have actual facts in front of them. So we thought they would if the cut was good and it was as good as we could have expected from the EPA on the ruling. So they came out with their price increases. Again we are in the middle of winter. So it's no real volumes moving right now. But it was a new benchmark for our industry coming out. Now this is the start coming forward. They are higher number, not the number we've been sitting at all year. So it was a good way to enter into next year. If there is no more before the end of the year, that's okay. When we get into the season, we would expect price increasing. We can't guarantee anything. It is our expectation just as we thought that they would increase as soon as the rule came out, if the rule is a good rule. So our guess is at this point from what we've seen before as soon as volume start moving again out there, then there will probably be a trickling up again throughout the season. So we just don't know how high it would go in '15, but we do expect it higher than what this increase is right now.
Philip Shen - Roth Capital Partners: Great. And Kevin can you guys talk about inventory? How much inventory is out there in the system? The one thing that we've been hearing is pricing can't go too much higher, until inventory kind of gets worked through -- to be worked through most of it, I am hearing by maybe April or May of next year? What are your thoughts on inventory and how that impacts things as well?
Kevin Zugibe: Well, it's the [finance] (ph) is always a funny thing for our industry. We push very hard for the EPA to find out say stock piles and the inventory in our industry. We put very hard -- we had listed from probably every direction to get them to write 114 letters to find out because how do you put a final rule without knowing inventories in the chain and they never do before. So we think we are pretty successful getting them to do it. It showed that there was a lot of inventory in the chain, which was never a shock to us, but looking back say even 2012 when the price took off while there was a lot of inventory in the chain, way more than there was now. The fact is that price can come flying up whether there is gas in the chain or not, or whether there is a lot in inventory has to do with how they control pricing coming forward. The producers when they -- they hold true because of price, which didn't happen after '12, but it happened in '12 -- 2012, prices ramped up. Nobody can kick themselves when the price on 22 got into the 14 and 15 range, oh there was an god-awful amount of talent in the inventory -- in the marketplace. So that didn't stop it from ramping up, but once it became very clear that there was an absolute luck, it started tapering back, but the cutback is because people though there wasn’t going to be a phase out unless they sound quick enough. So they got it solved, the whole increase was solved just at one point, once it became very clear that EPA had the potential to allow more production and that they did allow more production. So when '13 happened, that killed the price. Nothing else killed the price. It was ramping up with plenty of gas in the marketplace and until the rule came out and said, we're going to allow more production, way more than you had thought and we're not even telling you what we were doing until '19 -- I am sorry, '15 to '19. So now everyone knows what's it's going to be and it was cut way back again. So the likelihood of getting the psychology back in our market that there is going to be a phase-out here which there is, that there is going to be a shortage, that there will be and that's what they needed to be able to ramp price up. It wasn’t about, is there gas necessarily on the shelves or out in the industry, they were able to do it before while that was out. It was just letting the people know that there was going to be a shortage, you better not blindly sell it that way. You better start reclaiming the gas, recovering the gas and putting a value on that gas because it's going to go away. People last year and this year didn't think that. They bought this plenty of gas, it will last forever. This is the first sign that it's going to be cut again. That's why we're not shocked that they started ramping the price and that's why we think it will continue.
Philip Shen - Roth Capital Partners: Great Kevin, Brian, thank you very much.
Operator: Thank you. Our next question comes from the line of Robert Manning with Janney Montgomery Scott. Please proceed with your question.
Robert Manning - Janney Montgomery Scott: Clearly there is going to be a lot more interest in reclamation on your client's part. What are the -- do we see any of that interest building now? Can you hear me okay? Do we see that interest building now? Does that wait until the active season next year? Does it maybe wait another year until prices have really gone up a lot? What do we see so far? What are the milestones you think you will kind of look for?
Kevin Zugibe: What we saw is once prices started to move, that was really the one it started to move in '12. We started to see lot more interest and we saw a lot of people coming to the table and never cared about reclamation before and trying to set up programs. Really when 2013 came along with what -- or the EPA came out and again shock the industry with £20, the interest was lost in the sense that growth rate of people coming up, newer guys coming up saying, hey, I got that reclaim. People again were not afraid that there was going to be a shortage and so we kind of lost that momentum. And we needed was again some faxing is going to shortage and that will -- then obviously price increase was going to happen, reclamation would happen more, we just needed that. So the first step was, it just happened and that the EPA coming out making it very clear there is going to be shortage, but most people wouldn’t argue with that now. What year will it be? Yes, there is plenty of gas for next year, but that's okay because will try filling it out for future years. It won't be at this exact point or in the winter time right now. The rule came out right now, but we would expect into the season next year when we get earlier in the year next year that the newer people that want to get into reclamation will start to see that they should jump into this. So yes, this would be a bad time for people to be thinking reclamation. So even though the rule is out there, we wouldn’t expect people calling us now suddenly need the reclamation hold ground, but we would expect it early into next year.
Robert Manning - Janney Montgomery Scott: Do you think there will be a big spike in this next year or is this -- I mean we're not really running out of gas with all the inventory that's out there, are we likely to see a spike next year in reclamation interest or is it going to be kind of modest growth growing for a couple of years?
Kevin Zugibe: I think it's exactly what it is. I think it's going to be modest in the beginning. I don't think you'll see a spike because as you said, there is plenty of gas out there. Again there is always plenty of gas out there every year and we were able to grow reclamation. So that doesn’t -- we will see a growth, but I think it will be clearly modest as this thing gets -- as people get their hands around -- their arms around how much gas is out there, while we have shortages coming, it's a psychology of our market. That doesn’t happen overnight. I don't think it will take forever, but I do think it is a little bit slow in the beginning as we grow into this through the year next year, yes.
Robert Manning - Janney Montgomery Scott: Now if I were a customer expecting prices to go up as we get into the normal buying season after the first of the year, I would sure be considering buying gas now to beat what we would expect would be future price increases. Is any of that going on?
Brian Coleman: Certainly I would say anybody would like to buy 22 now, with that sort of anticipation. I believe holders of inventory recognize the difference between a speculator and speculation buying and buying an existing customer and with normal demand. I don't know that it would benefit any company or industry to sell product in the fourth quarter when there really is no consumption. So it's difficult to say what any one company or industry will do and when they'll do it and how they'll do it, but on an overall basis, it doesn’t make a lot of sense to look to sell product at this time of year when we're not really even in the season.
Robert Manning - Janney Montgomery Scott: So your clients basically buy to meet current demand than on stock pile stuff in advance of the season.
Kevin Zugibe: Well stock pile -- people buy inventory in the first quarter, which is beginning to stock their shelves for the season. So they are buying let's say pre actual consumption, but when you use the word stock pile, that's just different than inventory and there are people possibly like you said would say, hey, I would love to speculate an R-22 and let me try to buy as much 22 and stock pile. But I don't know many in the industry that would support that kind of behavior.
Robert Manning - Janney Montgomery Scott: No, I am just talking about your regular customers saying, hey stuff we were going to buy in February, let's buy it now.
Kevin Zugibe: Again I think it's a customer by customer basis and to the extent people are looking to stock pile, it's not a behavior we want to support.
Brian Coleman: I also think that the industry, which is a little difficult right now on pricing is although they might want to buy it, I think the average guys that are out there that have volumes, they bought it for a reason too and as they’ve been here a year long, the likelihood when they see the same thing that we see, the likelihood for them letting it going today is a little difficult because they see the sharp pick up.
Robert Manning - Janney Montgomery Scott: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Christian Thomas with Sidoti & Co.. Please proceed with your question.
Christian Thomas - Sidoti & Co.: Hey guys, how are you?
Kevin Zugibe: Hey Christian.
Christian Thomas - Sidoti & Co.: This might be a slight deviation of the previous question, but what are you expecting the normal refrigerant buying season to being next year and then do you think there is a chance maybe beginning a couple of weeks early people trying to kind of get ahead of the expected price increase.
Kevin Zugibe: Certainly -- the prior question and this question, certainly those are possibilities. I think fundamentally as we've said to our shareholders many times, it's a nine month season, it's an overall season. One quarter could be better than another quarter. One quarter could be a higher growth rate relative to the prior year. And so there is nothing at the moment that would have us believe in some way, shape or form that next year season somehow is going to be a win for whatever the case may be. We would expect -- we would say and we would expect that next year is going to be a normal season. Obviously weather will come into play, things like that. So possibly there is going to be some shifting around, but for the season there is no reason to think it's going to somehow look different.
Christian Thomas - Sidoti & Co.: Okay. Great and just one final question. I know you had a [season in the past things drop] (ph) and drop into place and so what price do you think that they're going to become more prevalent? Do you think it may be back to that '14, '15 range or where?
Kevin Zugibe: It's not to say -- again, you're right, as the price came back it seemed to go away, but it could be on a couple reasons that it backed off, but as the price comes up, clearly there is a certain piece of the population out there contract wise that would only use 22. So I don't care how high it got. There is a certain point -- a certain population which is a large percentage and I don't care what it is, that will stick with 22, they always would, because it's right for the gas, they know -- for the machine, they know that it can cause problems, they know the efficiency comes back and every one and they are true people in the sense that they're believers in 22. So we have always had those guys and there is the other world that when the place got high enough, they just would take anything. They have to put it in. Their [hold] (ph) is good and they put it in. So that will start to reappear again. We don't know when that exactly is, but again something North of where we are. It's possible it's starts to come up again, percentage wise of the market, but the difference -- the little bit of a difference between what it was the year before last, when it started to appear was since then there has been a number of articles, there is a number of pieces that come out that spook a lot of people that would have put it in, and again I say a lot. I don't know what the number is percent wise. But where it has been mechanical failures and that's for certain drop-ins because I am saying every drop in causes this but they keep seeing problems in units and with certain drop-ins that made certain contracts even call us to say should I be messing around with this, they're going to have failures and again, so certain bad drop in that cause a bad reputation too. So hopefully that means that they'll stick with 22 more so than they would have two years ago, but again I think you're right as the price comes up a certain percentage will go back to that and we believe that the EPA in their numbers factored that in that the pieces which they didn't factor in a while ago, so that's good and that's helped them cut the number of £22 down.
Brian Coleman: And just another note, back to these substitute products, as Kevin mentioned generally there is some loss of capacity and certainly loss of some efficiency, but these substitute products are now that HFC class and back to the Obama Administration and globally there is a lot of dialogue about these HFCs. These HFC refrigerants are very high global warming gases and in some instances, the substitute that we're talking about are actually higher global warming then R-22 in and of itself. So I think as Kevin mentioned there has been some technical alerts that have come out, but also from an environmental perspective, back in line with the Administration's policy on looking to find ways to limit HFCs and the whole dialogue about global warming, I think there may be more dialogue about that as well.
Christian Thomas - Sidoti & Co.: Okay. Great. Thank you guys.
Operator: Thank you. Our next question comes from the line of Steve Dyer with Craig Hallum Capital Group. Please proceed with your question.
Greg Palm - Craig Hallum: Hey guys, it's actually Greg Palm on for Steve.
Kevin Zugibe: Hello Steve how are you.
Greg Palm - Craig Hallum: Hey, this is Greg on for Steve.
Kevin Zugibe: Oh, sorry Greg.
Greg Palm - Craig Hallum: Volumes were up again on a year-over-year basis, even we had a pretty mild summer fall. What do you contribute that to? Have you guys making share gains or is there something else going on?
Brian Coleman: It pretty much is customer growth. We actually did a little better this year than historical levels. It's hard to predict that we'll continue to do better -- certainly we try obviously to do better, but its customer growth trying to look into the marketplace and find new channels and so forth. We've been saying for many years now, we're looking for a double-digit growth rate on volume in that 12% range because we just think there is a lot of customers out there, there is a lot of companies that have no reclaim program, a poor reclaim program and there is still ways to go here for the foreseeable future in terms of growth opportunities.
Greg Palm - Craig Hallum: Got you. And given that reclamation obviously it's going to play a much greater role going forward. What can you do to continue to grow your customer base?
Kevin Zugibe: Again part of growing reclamation really isn’t like even when used to say the EPA and what prices will have to get to before it's really attractive for someone to stop venting the gas and bring it in. So we always look at something and say the prices now are fine for that. The problem is how do you get it down the channel? As the prices come up, you can have more down the channel that's one way, but can you put programs in place where you can money downstream to the contractor's hands who is making the decision to vent the gas or bring it in and I say, vent the gas meaning illegally vent the gas or bring it in, if he is getting paid money, more likely he is going to bring it in. So as much as we've paid and others have paid, if it doesn’t make it down the channel to him, it doesn’t really help. So we've been working hard on great -- this EPA rule and hope we have the price come up, so we can pay more and the rest of the industry could pay more for dirty gas that's good. But again it's really targeting how do we make sure the money is getting downstream into the contractor's hands and we've worked that out from a whole bunch of program we're putting in place with distributors for one, and using another pieces of technology which help they will be introducing in the near future that will make it incentivize people to allow us to bring money downstream to the contractor and make it easy for the contractor to bring in, take the risk out for him whether it's bad gas or good gas. So we focus we've had so much work toward that area to say what is the reason he wouldn’t get in here and what is the reason he is not getting most of the money and so that's over the last couple of years we've targeted that. I think the newer programs will put more in his pocket not less.
Greg Palm - Craig Hallum: Okay. And then last one, you guys have done a really good job at sort of cost discipline keeping OpEx under control assuming that goes up next year, but how should we be thinking about that?
Brian Coleman: Our operating expenses this year let's say represents a fairly low number whatever discretionary types of spending that we historically made that you could called on R&D or business development, which generally are things we do that are for activities that will benefit the P&L a year or two out were lower this year than recent years. With that said, we are obviously expecting a much better year next year and so you could say that you should anticipate some growth in particularly the G&A line. But with that said, as demonstrated let's say in the '12 and the beginning of '13 the first quarter of '13, that growth to the extent it exists is no direct correlation to the revenue growth and the gross profit growth. It just simply would be more again to the extent we're vesting some dollars for our future. So I would say to summarize, 2015's G&A is probably going to be higher than 2014, but it's not at all going to be correlated to the growth in revenues and gross profit.
Greg Palm - Craig Hallum: Okay. Thanks a lot. I'll get back in queue.
Operator: Thank you. Our next question comes from the line of [Sean Boyd with Westcliff Capital] (ph). Please proceed with your question.
Unidentified Analyst: Good evening. Can you hear me?
Kevin Zugibe: Yes.
Unidentified Analyst: Okay. Just on the price increases I think just turn to price increases a little higher more like 20%, 25% is that -- does that change quite a bit by geographic market by chance?
Kevin Zugibe: No, not really. See it all depends on who you are, who your calling, where it is meaning not geography, but if you are let's say calling in, people might give you a price that's slightly higher than the kinds of pricing we talk about because it's a one-off transaction. But I think the key for you is whatever channel checking you're doing is the relative relationship as you continue this process and if you continue quarter to quarter whatever way you're going to do this and here higher numbers or higher growth rates and the things we talk about that I think you should consider discounting which you're hearing or maybe you're not getting as good an information. But there really isn’t big differences between the West Coast the East Coast, North, South. Also again back to this time a year, people might just call you higher just because it's this time of year and they think maybe you're calling to speculate.
Unidentified Analyst: Got it. Okay. And regardless the movement is the key at this point, congratulations on the more stringent EPA standards and in thinking about that and really moving over to HFCs and the executive action out of the [validations] (ph) in September, help us -- where are prices on the HFCs today and have you seen any movement in the last month or two since we saw that announcement?
Brian Coleman: So the HFC is a class and there is many different HFCs. So just talk about in a class, you could say for the most part are at historical low sales prices and the reason they're at historical low sales prices is there is globally probably just simply think of it in terms of excess capacity. Now one particular product recently there has been a trade finding where the United States an International Trade Commission indicated that Asian producers were dumping product that's only one particular HFC class, but overall you could just simply say that historically we were at lows and historically we were at excess capacity. What we've been discussing both in the United States as a company with the state department through the stakeholder group, the alliance is amending the mantra of protocol so that the HFC class of refrigerants enters a phase-out to eventually zero production as we did with all the ODS products, which are 22 is an ozone depleting substance, that's why it's been phased out. The United States through their recent announcement has indicated that they're going to take steps independent, but I think that most countries around the world would much rather see global treaty executed on this. So back to specifics towards what you heard back in September, it's impact on our financials for '15 probably is not that material, but it certainly is beginning to set the ground work for things that may begin in '16, '17 and beyond and we certainly are far more optimistic today that it will be very unlikely that we'll have to wait 15-plus years for that next phase-out as we had to wait between the CFC phase-out and now this HFC class. So hopefully that answers your question.
Unidentified Analyst: Yes, definitely and again just from a size standpoint R-22 is roughly 60%, 65% and r refrigerants and HFCs are about 30%.
Brian Coleman: Of the aftermarket and we're talking about the stationary non-automotive applications.
Unidentified Analyst: Got it. Okay.
Brian Coleman: But if you look at it, it was all CFC and HFC, the CFC most of them replaced by HFC already, that's the amount that's there. all cars went to HFC. They were CFCs. As 22 is being replaced, the primary one is 410-A, which is an HFC. So theoretically every year this goes along. More of the percentage of the market is becoming HFC. Years from now this will be 100% HFC market because everything is being replaced with HFC.
Unidentified Analyst: Got it. Okay. And just one quick clarification on operating expenses back to the previous caller's question, if operating expenses are up a bit this year, do you anticipate it more in line with 2012, 2013 kind of level?
Brian Coleman: Possibly yes. We don't provide that particular granularity, but it certainly would be probably closer to that than certainly what we -- but it all depends on the seeds and again these are things that we obviously spend a lot of time on thinking about and making budgetary decisions in advance of the expenditures and commitments and the like. So.
Unidentified Analyst: Got it. Okay. And the just last question is in terms of volume growth and you already addressed it on a couple of previous questions that we did have relatively mild summer, did you have any -- any thought on how much that hurt your volumes? Another words, would volume growth has been significantly higher, have we had a normal summer?
Brian Coleman: We tend to see -- it's hopefully this sounds -- weather is important really for the factor of did we get three warm days early in the year, three warm days and say in Chicago, Washington DC, New York, that's where the seasonal demand is coming from. So it's not like you need really a hot year or an average year. As long as you get those warm weathers it's somewhat normal season. So it's hard to answer your question. The universe of that is obviously if there is no warm days, often you are not really going to sell product, which happened once in the history of our company in 2009. Conversely if it's a really, really hot year and it's warm for a long period of time, then it's likely you'll have more catastrophic events which then we typically say that amounts to maybe single digit increases in volume. So it's not an easy answer to your question and we would say, while it was relatively cooler, it was somewhat of a normal year.
Unidentified Analyst: Got it. Okay. And thanks a lot for the color and congrats of the continued progress of the final ruling of the EPA.
Kevin Zugibe: Thanks.
Brian Coleman: Thank you.
Operator: Thank you. Our next question comes from the line of [David Mandow] (ph) with William Blair. Please proceed with your question.
Unidentified Analyst: Hi, good afternoon. Looking from second quarter to third quarter, what pressured gross margin?
Brian Coleman: It probably really at the end of the day, was that while service revenues were higher, they weren’t quite as high as we had seen let's say the first two quarters and if you kind of think about a service business, all the cost are there, there is very little variable cost. So there is really no one significant cause for that per se. Probably the single greatest to pick one would be that the overall service business while it was still higher than '13 was not quite as high as the run rate for the first two quarters of '14.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from the line of Robert Manning with Janney Montgomery Scott. Please proceed with your question.
Robert Manning - Janney Montgomery Scott: Yes, in line with your hope for growth in volume in the double-digit range, dollar volume was not -- and there was no growth in the September quarter, my impression is that R-22 prices were somewhere around the same $7 this quarter versus a year ago, was there a bigger decline in that in R-22 prices, were we hurt by the HFC business or did we just achieve lower than the 10% volume growth that we book for?
Brian Coleman: There is -- let's say a couple of variances, the third quarter of '14 relative to '13. First off the prices fell to $7 in the 2013 period. So they would have started at a higher number entering the beginning of the third quarter of '13. The global average would have been higher let's say. Secondly, if you remember back to last year's third quarter and back to some of the questions that people have been raising, last third quarter was an exceptionally warm temperature. Therefore, you do get some bump -- single digit bump probably again because of that. So it's a lot of different varying factors but at the end of the day for the nine month season we did better than our typical 10% to 12%.
Robert Manning - Janney Montgomery Scott: Great. Thank you.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I’d like to turn the call back to management for closing comments.
Kevin Zugibe: Well, I want to thank our employees, our long time shareholders and those who have recently joined us for their continued support. Thank you everyone for participating in today’s conference call and we look forward to speaking with you after the yearend results. Thank you.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.